Operator: Good morning, ladies and gentlemen. And welcome to the Henry Schein Fourth Quarter and Full Year 2017 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Carolynne Borders, Henry Schein's Vice President of Investor Relations. Please go ahead, Carolynne.
Carolynne Borders: Thank you, Shama, and thanks to each of you for joining us to discuss Henry Schein's results for the 2017 fourth quarter and full year. With me on the call today are Stanley Bergman, Chairman of the Board and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during the call will include information that is forward-looking. As you know, risks and uncertainties involved in the company's business may affect the matters referred to in forward-looking statements. As a result, the company's performance may materially differ from those expressed in or indicated by such forward-looking statements. These forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's filings with the Securities and Exchange Commission. In addition, all comments about the markets we serve, including end market growth rates and market share are based upon the company's internal analysis and estimate. The contents of this conference call contain time-sensitive information that is accurate only as of the date of the live broadcast, February 20, 2018. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Please limit yourself to a single question and a follow up during Q&A to allow as many listeners as possible to ask a question within the one hour that we have allotted for the call. With that said, I would like to turn the call over to Stanley Bergman.
Stanley Bergman: Good morning and thank you, Carolynne. Thank you everyone for joining us. Now let me start with a review of our financial results at a high level. We closed out 2017 with a strong fourth quarter that demonstrates the advantage of our Henry Schein high-touch, value-added solutions business model. Our customers rely on our team of trusted advisors for the clinical, supply chain, technology and business solutions that practitioners and their office personnel need to operate their practices efficiently day in and day out. We satisfy practice needs through technology as well as our consultative high touch selling approach. So our customers can focus on patient care. It is really important to understand that we are in fact providing a high-touch relationship with our customers that have sustained our growth for well over a quarter century, since we added the field component to our sales and marketing programs. Before I begin to go into further information on the quarter and on the company I'd like to note that in recognition of our team members following recent US Tax Cuts and Jobs Act, Henry Schein plans to distribute up to $1,000 one-time cash bonus to certain designated staff members in the US with one full year of service as of January 1, 2018. We are pleased to be able to give back to certain Team Schein members in the US with the special bonus in recognition of the hard work and commitment to excellence. This incremental investment in our team is a reflection of the motivation spirit and value that our broader team across the globe delivers to our customers every single day. Steven, of course will provide more details on the financial impact of this bonus. So our competitive position in the marketplace builds upon four key elements. Mainly education, service and support; software and innovation; and strong long-term customer relation. Just to highlight, we feel 4,200 highly trained field sales consultants and 2,200 telesales representatives across the globe, these Team Schein members are helping our customers operate a more efficient practice so that customers can focus on clinical outcome. In the field today, we have 200 equipment sales and service centers around the world, with more than 2,000 dedicated field technicians to service and maintain equipment. They are supported by 1,000 customer service representatives. It's an enormous amount of high-touch that goes on each day between us and our million practices that we service, million and half practitioners in those practices. And, of course, software and innovation is critical in advancing the practice goal of efficiency and clinical outcomes we service that day in and day out through our 350 software developers and 800 technicians on the telephones and in the field that support our customers. As a company Henry Schein is a healthcare solutions network powered by people and technology. That network is comprised of more than 3,000 suppliers, some 22,000 Team Schein members and more than 400 key opinion leaders in 85 years of knowledge and expertise and solutions. This can provide the connectivity to our customers. We are armed with strong value proposition. We are optimistic about our long-term growth opportunity and believe we are well positioned in attractive growth markets. And we believe in our high-touch value added business model, which we believe will stand the test of time. It will be in the results we are quite sure of that. We have successfully executed on our strategic plan for 2015 to 2017. And now are embarking on our 2018 to 2020 strategic plan, which we will discuss in great detail later. This team is committed to determining our thinking our strategy in advance and has a phenomenal track record on execution. But first I'll provide some additional commentary on our recent performance and accomplishment, and Steven will review our financial results a little bit now actually and I'll provide comments later.
Steven Paladino: Okay. Thank you, Stanley, and good morning to all. As we begin I'd like to point out that I'll be reviewing our results on GAAP basis, a reported GAAP basis and also a non-GAAP basis. Each reporting period has items that affect non-GAAP results and they are as follows. For Q4 2017 our non-GAAP results exclude a one-time tax charge of $143 million, or $0.92 per diluted share. And this is related to an estimate of the transitional tax on deemed repatriated foreign earnings, as well as the revaluation of deferred income taxes, both that have associated with US tax reform legislation. In addition, we have a loss of $17.6 million pretax, or $0.11 per diluted share and that loss is associated with the previously announced divesture of our equity ownership in E4D Technologies. On a full year 2017 non-GAAP basis results exclude the same items as well as the litigation settlement expense of $5.3 million pretax or $0.02 per diluted share in the second quarter. For last year, our Q4, 2016 non-GAAP results exclude restructuring cost of $16.1 million pretax, or $0.08 per diluted share, and on a full year basis our non-GAAP results exclude restructuring cost of $45.9 million pretax or $0.21 per diluted share. We believe that these non-GAAP financial measures provide investors with useful supplemental information about the financial performance of our business; they enable the comparison of financial results between periods where certain items may vary independent of business performance and allow for greater transparency with respect to key metrics used by management in operating of the business. These non-GAAP financial measures are presented solely for information and comparative purposes and should not be regarded as replacement for the corresponding GAAP measures and you could see a detailed reconciliation of these items in Exhibit B in this morning's earnings release as well as on the Investor Relations section of our website. Let me also point out that the fourth quarter of 2016 included one additional selling week when compared to the fourth quarter of 2017. This week is the holiday week between Christmas and New Year. We report on the 52/53 wait week basis with the fiscal year ending on the last Saturday of December each year. Last year, we previously discussed this impact as it related to our 2016 versus 2015 results on the Q4 call. And the next time that the extra week occurs for us will be in 2022. So because of that we have estimated the impact of the extra week on sales and in order to provide more meaningful analysis I'll be reviewing internal sales growth in local currencies adjusting for the extra week in the fourth quarter of last year. So turning to our results. Net sales for the quarter ended December 30, 2017, were $3.3 billion, reflecting a 6.3% increase compared with the fourth quarter of 2016. The components our internal sales growth in local currencies of 5.1%, acquisition growth of 4.0%, an increase related to foreign currency exchange of 2.4% and the extra week negatively impacted our sales growth by 5.2%. Again you can see the details of our sales growth in Exhibit A of the earnings news release. Operating margin for the fourth quarter of 2017 was 7.27% and expanded by 41 basis points compared with the fourth quarter. But it's important to look at some additional details on our operating margin related to the Q4. The first relates to restructuring cost in the fourth quarter of last year. These restructuring costs in the prior year basically impacted our operating margin comparisons by 51 basis points. Second, acquisition completed during the past 12 months, 12 months and related expenses for those acquisitions, as well as the impact of certain sales switching between agency sale and direct sales, combined to negatively impact operating margin comparisons by 30 basis points. Excluding the net impact of these items, our operating margin expanded by approximately 20 basis points in the fourth quarter on year-over-year basis. For the full year 2017, excluding the impact of the same factors, as well as the litigation settlement expense in Q2 that favorably impacted our operating margin by 23 basis points, our full year operating margin was approximately flat compared to 2016. I'd also like to note that we reported low year-over-year expenses as a percentage of sales as we continue to realize operating efficiencies from previous restructuring efforts and remain focused on leveraging our infrastructure and tightly controlling expenses. As we look forward to new opportunities to streamline our businesses and reduce cost. We are currently assessing additional restructuring possibilities in 2018. If you look at our reported GAAP effective tax rate for the fourth quarter, it was 90% and that includes the one-time tax charge of $143 million as I just mentioned. But on a non-GAAP basis excluding this one-time item as well as the loss associated with the divesture of E4D Technologies, our effective tax rate was 27.7%, and this compares to 28.2% in the fourth quarter of 2016 which is also on a non-GAAP basis. Full year GAAP effective tax rate was 44% and that compares to 28.8% last year. But again, on a non-GAAP basis the full year 2017 effective tax rate was 26.8% versus 28.6% in 2016. So we believe our tax rate will decline by somewhere between 300 and 400 basis points in 2018 and will be somewhere in the 24% range for 2018. This reduction in the effective tax rate is reflected in the updated guidance that we have provided today. Moving on the net loss attributable to Henry Schein for the fourth quarter of 2017 was $8.5 million, or $0.06 per diluted share on a GAAP basis. But if you look at the fourth quarter on a non-GAAP basis excluding those one time items in the restructuring cost, net income attributable to Henry Schein was $152.1 million, or $0.97 per diluted share. This represents growth of 0.5% and 3.2% respectively compared with the non-GAAP results for the fourth quarter of last year. I'd like to provide a little bit of additional color on our results. Amortization expense from acquired intangible assets related to M&A activity was $28.3 million, pretax were $0.13 per diluted share for Q4, 2017. And for the full year, the amortization from acquired intangible asset was $112.4 million pretax or $0.52 per diluted share. Also would note that foreign currency exchange had a positive impact on EPS for the quarter of approximately $0.02. So I'd like to provide some detail on our sales results for the fourth quarter. As a reminder, the sale growth figures will exclude the impact of the extra week in prior year and I'll quantify this impact as we go as applicable. So starting with Dental sales, for the fourth quarter of 2017, they increased by 8.2% to $1.7 billion. This consist of internal growth in local currencies of 4.6%, acquisition growth of 6%, and increase related to foreign exchange of 3%; and then the extra week in the prior year negatively impacted sales growth by approximately 5.1%. North American internal sales growth in local currencies was 6.7% which included 1.9% growth in sales of dental consumable merchandize. Remember that growth in consumable products were negatively impacted by approximately 130 basis points due to loss of a previously disclosed the ASO contract. And I think it's also important to note that this contract has now anniversaried, so this is the last quarter it will have an impact on our growth rate. Our North American Dental Equipment sales and services was very strong at 18.1% growth in local currencies. And our fourth quarter equipment backlog continued to remain very healthy. International Dental internal growth in local currencies was 0.1%; it included 2.6% decrease in sales of dental consumable merchandize due primarily to low sales in certain European countries, but strong growth in dental equipment sales and services revenue at 7.7%. Our Animal Health sales were $889.8 million for the fourth quarter which was an increase of 6.2%. This consisted of internal growth in local currencies of 4.5%, acquisition growth of 3.7%; and increase related to foreign exchange of 3.2% and again the extra week negatively impacted sales growth by 5.2%. The 4.5% internal growth in local currencies included 6.0% growth in North America and 2.9% growth internationally. Approximately 70 basis points of the sales growth in North America was from certain products switching between agency and direct sales; excluding this impact, normalized sales growth for North America was approximately 5.3%. We believe the solid sales growth for the quarter reflects both the healthy end market, as well as our commitment to offering a wide range of product and value-added services. Our Medical sales were $636.9 million for the quarter, an increase of 2.6%. Internally generated sales in local currencies were up 8.3%, acquisition contributed 0.1%; there was 0.3% increase due to foreign exchange and the extra week negatively impacted sales growth by 6.1%. That 8.3% internal growth in local currencies included 8.7% growth in North America and a decline of 2.9% internationally. We are pleased with our Medical growth which has been primarily driven strong organic growth from existing large customers. Technology and Value-Added Service sales were $114.6 million in the quarter, an increase of 2.1%. Internally generated sales in local currencies was up 3.2%, acquisitions contributed 0.6%; there was 1.1% increase due to foreign exchange, and again the extra week negatively impacted our sales growth by about 2.8%. The 3.2% internal growth in local currencies included 1.8% growth in North America and 11.4% growth internationally. The North American growth of 1.8% reflects the lower dental software sale and electronic services revenue versus the prior quarter, and was partially mitigated by strong 12% growth in our financial services revenue segment. The international market sales growth of 11.4% was highlighted by strong dental and veterinary software revenue. We continue to repurchase common stock in the open market during the fourth quarter, most specifically during Q4, we spent approximately $225 million to repurchase approximately 3.2 million shares. We elected to accelerate our share repurchases during the fourth quarter to take advantage of what we considered to be an attractive buying opportunity. The impact of this repurchase on our fourth quarter diluted EPS was about one half of one cent per share. For the full year, we spent approximately $450 million for the purchase of approximately 5.9 million shares. And at the close of the fourth quarter, we had approximately $200 million authorized for future repurchases of common stock. If we look at some of the highlights of our balance sheet and cash flow. Operating cash flow for the quarter was $238 million, compared to $264.5 million last year. For the year now operating cash flow $545.5 million versus $642.6 million in 2016. And the low operating cash flow is primarily due to higher working capital. Our capital expenditures for the year were $81.5 million resulting in free cash flow of $464 million. If we look at accounts receivables day sales outstanding, they were 41.5 days for the fourth quarter which is virtually unchanged from the 41.3 days last year. Full year basis, they were also consistent at 41.2 days versus 41.3 days last year. Inventory turns for the fourth quarter of 2017 were 5.3 turns and that compares to 5.5 turns last year. On a full year basis also similar 5.3 turns in the current year compared to 5.5 turns last year. So I'd like to conclude my remarks by noting that we are raising our 2018 financial guidance to reflect the impact of the US tax reform legislation. For 2018, we now expected diluted EPS attributable to Henry Schein to be $4.03 to $4.14 per share. This is up from the previous guidance of $3.85 to $3.96 and reflects growth of 57% to 61% compared with our 2017 GAAP diluted EPS of $2.57. This includes the impact of one time cash bonus that Stan mentioned earlier. These distributions will total approximately $4 million and will be negative in the first quarter of 2018. The anticipated impact to our EPS is approximately $0.02 per share. When compared to 2017 non-GAAP diluted EPS of $3.60 for 2018 EPS growth is expected to be in the range of 12% to 15% growth. So since the tax benefits from stock based compensation or ASU 2016-09 is expected to be less for us in Q1, 2018 as compared to the prior year, we anticipate Q1, 2018 EPS growth to be in the mid-single digit range on both the GAAP and non-GAAP basis. It's important to note that this is before the $0.02 impact of the one time cash bonus that we just discussed. This guidance assumes end market to remain stable and is consistent with current market conditions. It's also guidance for continuing operations, as well as any completed or previously announced acquisitions, but that does not include any impact for potential future acquisition should they occur. And this guidance also assumes foreign exchange rates are consistent with current levels. Last comment I'll make is that we believe there will be no material impact to our 2018 financial results due to the adoption of new revenue standard ASU 2014-09 which is revenue from contract with customers. So with that I'll now turn the call back over to Stan.
Stanley Bergman : Thank you, Steven. Before we move on, allow me to comment in more detail on the February 12 press release from the US Federal Trade Commission alleging that Henry Schein and other distributors violated US anti-trust law by conspiring to refuse to provide discounts to and otherwise serve buying group representing dental practitioners. We believe these allegations are totally merit less and we intent to defend ourselves vigorously. I'll also note that the complaint seeks injunctive release and does not seek monetary damages. We do not anticipate this matter will have a material, adverse effect on our financial conditions or results of operations. I want to reemphasis that despite what are provocative allegations are content in the complaint; the case is about whether we conspired with other parties not to sell to dental buying groups. Based on the FTC's original definition of these buying groups, let me point out that we do business with more than 100 of these organizations. Even under a narrower definition recently advanced by the FTC, we have done business and continue to do business with very, very groups that we are now accused of refusing to do business with. This is not logical. Henry Schein has a long history of serving customers with integrity and honest. We have earned our reputation for doing business the right way. This is exactly why we have been named the Fortune's list of World's Most Admired Companies for 17 consecutive years from the first time we appeared on the Fortune 500 list, and why we have been named at Ethisphere's List of the World's Most Ethical Companies annually now since 2012. So we are really quite upset about this and really believe that this whole complaint is merit less. Now I'll share a few financial highlights from 2017 as I noted I would earlier on in my remarks. We achieved net sales of $12.5 billion in 2017 that's up 7.7% from the prior year. Internal sales in local currencies in 2017 increased by 5.1%, when excluding the impact of extra week in 2016 which is in line with our goal of growing 1% to 2% fast than the end market. GAAP diluted EPS declined, of course, 17.1% versus 2016 GAAP results, mainly due to the charges associated with the repatriation of foreign earnings and a revaluation of deferred taxes. Non-GAAP diluted EPS growth was 8.8% versus 2016 non-GAAP results. And for the full year 2017, we spent approximately $450 million to repurchase 5.9 million shares of our common stock, reflecting our continued confidence in the strength of our business and commitment to delivering shareholder value. In addition, we completed 14 strategic acquisitions in 2017 as we continue to expand our geographic presence and enhance our product offerings. Together with these acquisitions, together, these acquisitions had trailing 12 months revenue at the time of purchase of approximately at $0.25 billion, specifically these acquisitions expanded out digital dentistry solutions. And broaden our portfolio of endodontic and surgical products. In Animal Health, we acquired a cloud based practice management solution and announced the new presence in Brazil among the other strategic initiatives to bolster our expertise and market access. We also helped customers who are affected by the Hurricane, tornados and wildfire while supporting efforts to provide dental and medical services to underserved population in the developing world. So to sum it up, we believe 2017 was a terrific year and really solid year for Henry Schein. So on the Dental side. Let me review the quarterly performance at each of our four business groups again starting with Dental. In North America, Dental consumable merchandize internal sales growth in local currencies was 1.9% in the fourth quarter, or 3.2% growth when excluding the impact of the loss of the previously disclosed DSO contract. Excluding this contract, the growth rate has now accelerated for the past three quarters looking further out, we are optimistic that the health of the macro environment ultimately will drive an improved end market unit growth in the dental market in North America. North American Dental Equipment internal sales growth in local currencies was 18.1%, which is really a multiyear high. We are pleased with the strong equipment sales growth which benefited to some extent from a solid contribution from the sales of the full line against Dentsply Sirona dental equipment. But I really want to stress, and we are of course delighted to be carrying the full range of the Dentsply Sirona equipment line, but we also did well across the board with our key dental equipment manufactures including A-dec, Midmark and 3Shape. So our dental equipment business is really doing well which is indicative of the strong market that dentists are committed to investing in and this is an across the board growth in all of the manufactures that we represent. Of course, as now that the relationship with enterprise in North America is off to a solid start. We are optimistic that we continue to make progress on behalf of all our dental equipment manufacturing partners in educating practices on the benefits of digital dental technology. To improve the effectiveness of patient diagnostic and treatment, as well as the productivity in the dental office. The digitalization of dentistry is so exciting and we are very well positioned to advance digitalization in dental offices throughout North America and indeed the world. As Steven noted, International Dental Consumable Merchandize internal sales in local currencies declined 2.6% due to lower sales in certain European countries. On the other hand, International Dental Equipment internal sales increased by 7.7% in local currencies, the highest quarterly growth in more than two years. You may recall that in -- and this by the way is off a very good IDS quarter and second and the third. And so we have sustained growth in our international equipment business in Europe and abroad in general. You may recall that 2013, we announced the expansion our position in the dental specialty market with 60% ownership interest in BioHorizons, a manufacture of advanced dental implant that is sold globally. In 2013, their sales were $115 million; in 2017 the BioHorizons sales reached approximately $176 million. Recently, we purchased the remaining interest in BioHorizons and now have 100% equity ownership. Together with our investment in CAMLOG Biotechnologies, a leading manufactured implants in Europe, Henry Schein has built an important position in a two largest implant market: the US and Germany. We are also growing our presence in the rest of the world. The dental profession transition to dental to digital dentistry is a critical element in implant dentistry. So we are very pleased with our investment in the implant area. And expanded our investment in oral surgery section with our Dental Specialty Solutions acquisition of Southern Anesthesia which was added to the ace portfolio. We have greatly enhanced our ability to serve the needs of oral surgical practitioners providing our customers with a wide range of products and value-added services. Including bone regeneration materials that help our customers provide high quality care to their patients. Customer demand for implant and its associated materials are expected to increase as digital processes are adopted in the dental and dental experience of patient is enhanced. We are well positioned to benefit from the continued adoption with our broad dental specialties offering. More to follow as people have questions. Animal Health. So the global Animal Health internal sales growth in local currencies was 4.5% in the quarter, it reflects our continued very good execution, both domestically and abroad. We believe that the global end market is healthy and we are benefiting from consistent delivery of innovated products and let me stress solutions and strong customer relations in this market. In line with the increasingly value we provide to veterinarian, at the recent VMX Conference in Orlando, we announced an important enhancement to our Axis-Q known as Axis-Q LENS, L, E, N, S in caps. The software enhance better position us-- enhanced the better position to us to offer veterinary practice historic full trending analysis for both reference labs and point-of-care testing. This presentation of pet diagnostic results makes it easy to identify variation in lab results in order to improve care. Axis-Q LENS is the only product available today that could present trended results from multiple reference lab and multiple diagnostic instruments that are integrated with Henry Schein vet solution practice management software system. Keep in mind; we estimate that more than 55% of animal health practitioners in US currently have used Henry Schein animal health practice management technology. Shortly after the end of the fourth quarter we closed on a 60% ownership interest in ABASE, a distributor veterinary healthcare products in the state of Sao Paulo in Brazil. ABASE sales pharmaceutical, pet food, diagnostics equipment and consumables primarily to the companion animal, swine, poultry and bovine segment. ABASE had 2017 revenue of approximately $27 million. This investment strengthens our position in the Brazil animal health market which we established early in 2017 instead of Rio de Janeiro, our investment in Tecnew. It also diversifies our relationship with global suppliers and approximately doubles our volume in Brazil. Now for the Medical Group. For the fourth quarter internal growth in local currencies in the medical group was low about 8.3%. We believe our medical sales growth during the quarter continued to exceed the growth of the broader office based practitioner market reflecting our ability to penetrate large group practices, particularly to our strong supply chain management capabilities. As we constantly evolving healthcare landscape in the US, we believe the right solution is a system that seeks to expand access to care, stabilizing insurance market and advance movement towards wellness and prevention, as all of these are key to driving down the healthcare cost. We had a focus on continuing to offer solution, solution roadmap consulting with physicians to help to navigate this evolving landscape. Also, as provide a consolidation continues with a rapid pace of healthcare system expansion, Henry Schein healthcare services of infrastructure been a great deal of expertise is able to help integrate -- help integrate delivering metrics drive stabilization, improve quality and take trans action cost out of the non-acute supply chain area, and believe that our team is doing an outstanding job in servicing this class of customers. So now let me conclude with an overview of our Technology and Value-Added Services. As Steven mentioned, technology value-added services' internal sales growth in Northern America was 1.8% in local currency. This let me stress was impacted by lower dental software sales and electronic services revenue, partially offset by strong financial services revenue, somewhat impacted by an allocation of our sales resource to bring on the Dentsply Sirona business in the fourth quarter and not focusing as much on software sales in North America. We do believe that this part of the business is very exciting and has huge potential as we continue to gain account, small, medium and large and expand our governing position in this software technology arena. Note that we had a slight negative sales growth impact in the fourth quarter related to switches between agency and direct sales. You may recall that in the third quarter of 2017, we had rightfully focused a significant portion of our technology sales force as I noted as we prepared to launch Dentsply Sirona equipment products this past December. We saw that impact carry over into the fourth quarter of 2017 as we supported this launch. We expect our software sales to begin to show improve year-over-year growth in 2018 as we transition to the initial launch of Dentsply Sirona product line in the US. On the international market, we delivered double digit international sales growth in local currencies of 11.4%, highlighted by heightened strong dental and animal health software revenue. Note that in December we announced the acquisition of eVetPractice, a leading provider of Cloud based practice management solutions for health clinics. As the veterinary practice management software market expand is the cloud based solution, with eVetPractice, we are well positioned to provide customers with the latest and value-added services and technology solution as part of our integrated portfolio technology platform which include [Abby Mark Impermade] in North America, as well as [Vision, RX Works and Robovic] internationally. eVetPractice compliment those offerings to customers who prefer to benefits of a cloud solution. We now have an excellent offering of cloud solution in the dental and in the animal health space. We remain and so we remain extremely optimistic about our practice solutions business. And see great opportunity to add strategic capability to our platform during 2018 to 2020 strategic planning period. This is a very exciting part of our business and we are really well positioned to help our customers operate more efficient practices thus provide better clinical care. Before I open the call for questions, I'd like to make a few comments related to our 2018 to 2020 strategic plan. First, we are pleased to recognize by The Ethisphere Institute as 2018 World's Most Ethical Companies marking the 7th consecutive year we received this recognition. The Ethisphere Institute is a global leader in defining and advancing standard of ethical business practices. It is an honor to be recognized among some of the world's most respected businesses for our commitment to ethical business practices and corporate social responsibility. Our corporate goal for the coming three years is to further enhance our platform of value-added solutions that address customers' needs with network of trusted advisors. It is the core reason that our customers rely on us. We help our customers operate more efficient and successful practices so our customers can focus on providing the best in clinical care. The three business priorities reinforced in the 2018 -2020 plan includes the fundamental of one: particularly expanding our core distribution business. Two: creating an enhanced customer loyalty through our value-added solution and three, advancing our investment in exclusive proprietary products. We will accomplish this through advancing our core distribution capabilities and value-added solutions, working closely with the set of manufacturers that are interested and focused on capitalizing on Henry Schein's brand equity with exclusive proprietary brands than a partnership with specialty products. Of course focus on digital commerce, increasing high margin products, including specialty products and technology solutions, expanding our global footprint and yes, investing in Team Schein, our number asset. So, I realize that was a lot that we had spoken about today. And we are open for questions. Operator, if there are any questions from participants in the call.
Operator: [Operator Instructions] Your first question comes from Kevin Ellich of Craig-Hallum.
Kevin Ellich: Good morning. Thanks for taking the question. I guess starting off with the dental, Stan, could you give us a little bit more color on the strong equipment growth you are seeing in the US? I mean inventory on the balance sheet continues to build and maybe if you can provide a little color there. Then the follow up is in animal health. Just wondering how the Merritt that acquisition that you guys announced last year is coming along. How the integration is going? Thank you.
Stanley Bergman : So let me start with the end. The Merritt acquisition is totally integrated. We delivered on our expectations perhaps even a little bit better. On the equipment, we believe we are well positioned to help practitioners take advantage of the new technology that is available to them to increase the efficiency of their practice and position them to provide better clinical care. This is not only in the US but it's abroad. Of course, we are delighted to have become a full line distributor of the Dentsply Sirona product offering but our expansion in equipment sales and related services is related -- not only to Dentsply Sirona but to a number of other manufactures that I mentioned in the call. We are very well positioned to continue to grow well in this part of the dental market. And dentists are investing in their practices wanting to add the latest technology which is also indicative of the optimism that dentists had in dentistry. And again, let me emphasize, this is in the US but Canada and abroad likewise dental laboratories are also investing in their labs and are heavily investing in digital technology.
Steven Paladino: On part of your question, let me just first add that 18% sales growth included both strong growths in traditional equipment, traditional equipment was double digits and high tech equipment was also double digit a bit higher than the traditional. So it's really across the board strong sales growth in all aspects of dental equipment in North America. Related to our inventory, yes, we did have to bring in inventory in order to meet demand and expected demand for Dentsply Sirona products, it's typical for us to have showroom inventory as well as being able to fill the orders as quickly as the customers needs or want. But I will say that both on working capital we do have a goal of improving inventory turns. I'd like to see somewhere close to half a turn improvement over the next year or so. So we do think that there is opportunity to become more efficient on inventory management going forward also.
Operator: Your next question comes from Jeff Johnson of Baird.
Jeffrey Johnson: Thank you. Good morning, guys. So Steve or Stanley I guess either one. Just wondering the last couple of quarters you've been trending towards -- at least towards that 3% number on a dental consumable North American basis, if we exclude some of the noise, just wondering if you think that's a reasonable number to be thinking for 2018. I know you don't guide by line items but that's kind of where that number has been. So any reason we shouldn't think that number can repeat again this year. And then we've heard that flu maybe having a little impact on cancellation early this year. Just are you hearing any feedback from your customers about dental trends being impacted at all by the heavy flu season we've been seeing?
Stanley Bergman : So, Jeff, on the market, the market is relatively stable. Maybe it's growing a percent - potentially little bit more than that. There is a bit more optimism now than perhaps a year ago. So it's definitely leaning in the positive area. And we continue to gain market share, we hear this from our manufacturers, the data that is available showing us that we continue to gain market share. Whether we grow 2% or 3% or 4%, it's sort of in that range. And let me just emphasize that equipment is very strong. We expected to remain strong because dentists are investing in their practices. As it relates to flu, yes, I think the statistics are out there that flu is having impact on the population. I think it's the highest percentage of the population to be effected by the flu virus in many years. So I think it will impact visits to dentists in specific parts of the country. But I don't think that will have a significant impact on Henry Schein's ability to deliver results we are focused on and we anticipate.
Jeffrey Johnson: Okay, great. Maybe as a follow up just on the FTC case. I am sure you can't say much or won't say much but I think you had 14 days to respond to the complaints included in that filing. And if you didn't then they were deemed to be admitted to. From your comments, Stanley, I am assuming you are going to respond to each of those complaints. But, Steve, I guess I am wondering also if there is anything embedded in guidance from a cost standpoint either from a compliant standpoint and an independent monitor standpoint or legal expense standpoint how should we be thinking about the expenses embedded in 2018 guidance from this issue? Thanks.
Stanley Bergman : So, Jeff, Steven will response to the financial aspect. But Henry Schein, I think is the very first time we ever commented on litigation. But we feel this case is so outrageous and this is the one fundamental point. We've done business with dental buying groups for many years. Henry Schein, in fact was the company that conceived the notion of dealing with special markets and groups of customers. We continue to do business with very large buying groups, mid-sized buying groups, and we are now accused of refusing to do business with these people who actually have been doing business with for 20 plus years. So we absolutely deny these allegations. We don't know what others have done or what potentially others have done but we have not done anything wrong in our view and this case is without merit from our point of view. As you know Henry Schein is the company where we have prided ourselves with ethical behavior, adherence to the laws, integrity, and honesty and how can we do something that -- how can we agree to do something that we are already doing. It just doesn't make sense. The FTC is accusing us of doing something that we are actually doing. So it's beside logic this whole thing and we vehemently, vehemently refute these allegations. And this is the first time I think in the 22 years as a public company, we've actually commented on litigation because this is so outrageous.
Steven Paladino: Yes. So the only thing I would add on that is that the complaint if you take the time to read the complaint has some, what I would call, provocative comments. But don't be swayed and I am glad that you asked the question, Jeff, for the benefit of everyone, don't be swayed by provocative statements. Go back to the basics which Stanley just mentioned which is how could we be accused of conspiring not to sell to certain buying groups when we are selling and we have been selling and we've always sells to the same buying group. So, again be careful not to be swayed by again provocative statements in the complaint. As far as financial impact, again, there is no monetary damages or fines that the complaints are seeking. It's only injunctive relief; we do have an estimate built into our guidance for some legal cost and other cost in order to deal with the matter. Hopefully we have estimated that well although as you can probably guess it's hard to estimate that with perfection. But we do believe that we have it adequately covered in the guidance.
Operator: Your next question comes from Glen Santangelo of Deutsche Bank.
Glen Santangelo: Yes, thanks for taking my question. Stan, I apologize in advance for hitting this FTC issue one more time. But I think it's such a big deal for investors. You seemed to make the case that you were selling to the certain classic customers all along and hence the complaint is merit less, but if you look at the complaint they actually say that the companies were conspiring to refuse to provide discount. So it kind of sound likes in the complaint that the company may have been treating this one sort of customer class a little bit differently from a discounting perspective. And I guess what investors are nervous about if that's true, will you have to adjust your business practices in way that kind of make you slightly less profitable on a go forward basis. So you may not be able to comment but I figure I would throw out there.
Stanley Bergman : So we deny these allegations. We have been a company that is worked with GPOs whether it's in the dental space, the medical and animal health space for a long time. I don't think, can't imagine any scenario where we have to now start adjusting our pricing policy because of the FTC complaint. We have been servicing this customers, we were the company that conceived the notion of special markets 22 years ago where we went out to service large group practices, we now have a mid market group that is focused on mid market practices. And have supported small practices involved in buying group for a long time. So this whole thing doesn't make sense from Henry Schein point of view. And I don't believe this would impact our margin is possible. I don't think, other factors could impact our margin and as Steven has noted on many occasions we are working to increase our efficiency to advance sales higher margin product et cetera. But I don't think this particular set of circumstances will impact our margins.
Glen Santangelo: Okay. I appreciate that. Maybe just one follow-up for Steven on the guidance. Steven, if you look at the raise, it looks like you raised about $0.18 at the mid point and you also absorbed the incremental $0.02 a cost in the employee comp expense. And so if you think about that as an equivalent of $0.20 raise, some are concerned that if you look at the tax differentials that that would have been a little bit bigger than $0.20 would have implied a little big than the $0.20 raise. A little bit surprising giving how strong the organic sales trends seemed to be and the momentum seems to be heading in the right directions. So any sort of comments as sort of reconciles those two points so we know how to think about that?
Steven Paladino: Sure. Well, first of all, our guidance increase was only related to the tax impact net of the $0.02 comp that we talked about. We did not change guidance for any other aspects of the business. And if you look at -- and you could the math yourself, but if you look at an estimate of somewhere between 3% and 4% lower tax rate for the company, and if you use something even to mid point of that range, I think you will quickly get to the guidance that we gave. Remember, this is a very complex tax law. We are still feeling our way around it. So the goal is to be a little bit conservative on our guidance on it because of many moving parts including what percentage of our income is within the US versus in other tax jurisdiction. And but again the guidance was only changed because of that. I'd also remind you that if you remember in Q1 of this year, we had 2017 we had an outsized tax benefit for long-term compensation that was because the stock prices is one of the variables that determines our investing date, what the actual tax deduction will be and because over the three year period that ended in Q1 of 2017, the stock price performance was very strong. We are not expecting that same benefit in 2018. So that's what built into our tax guidance also. But again if you just do the math as I outlined, I think you will come very close to what we did in guidance.
Operator: Your next question comes from Robert Jones of Goldman Sachs.
Robert Jones: Hi, great, thanks for the questions. I just go back to the US dental equipment, 18% internal growth. I know, Stanley, you mentioned that it was a combination of legacy equipment that you had access to and then also obviously Sirona portfolio that's new. Is there any more perspective you can share there for us? I think it's important for investors to try to parse out just how much of that big ramp in growth was attributable to your access to the Sirona portfolio specifically?
Stanley Bergman : Yes. We are not giving guidance on the breakdown we never had between the manufactures that we --to generate sales from. So I think and Steven had some clarifying points here. We've never done that. So I think it's best to ask the manufacturers directly.
Steven Paladino : Yes. No, I don't want to give specific supplier guidance. But we did say that traditional equipment was very strong also at double digits within that 18%. And I'll just comment that the Dentsply Sirona was not a significant impact our traditional equipment. It was more A-dec and other lines that we have. And Dentsply Sirona really impacts more for us, the high tech equipment at least in this most recent quarter. So, again, it was really broad based our equipment sales growth. So we are very pleased with that.
Robert Jones: That's helpful. And I guess just go back to the FTC complaint. I know, Stanley, clearly we understand your view on the matter. But I was more curious just if you guys could talk to what the range of outcomes is possible from this? Is there anything you can share with us as far as what types of resolutions on what timeline we might expect? I don't think there is another official trial date until October, so just wondering what kind of guide post or types of outcome we should think about related to this.
Stanley Bergman : Bob, if you pull the complaint because it is public information. You can see what the complaint is asking for relief, so there are details in that. And rather than me going by memory, I refer you to the complaint directly. But, again, it's all injunctive relief. There are no financial damages but take a look at the detail complaint because that's all we know at this point.
Operator: Your next question comes from Jon Block of Stifel.
Jon Block: Thanks, guys. Good morning. Two questions. Let me ask first within -- hopefully I'll have time for follow up. So just to shift gears, international dental consumable results, I believe downed 2.6%. That was the first negative quarter that I have seen since 1Q, 2015, you guys navigated internationally very well during some of the macro weakness but anything to call out there or do you expect to bounce back in the coming quarters and then I just got a quick follow up. Thanks.
Steven Paladino: Well, the weakness internationally, really was a not new event although maybe is more pronounced this quarter. We did talk about in certain European countries specifically Germany with some weakness in that market last quarter. That's continuing. I think we do believe that European market is still a very good market. We are very focused on improving our value add component. We are very advanced in the US and some other market. And we are not just quite advanced at this time in Germany and a couple of other markets. But there is a strong focus on that. So I think I can't say in the next quarter necessarily, but if you think out medium term, I think that you will see more improvement in our international dental revenues.
Stanley Bergman : Just and again without putting a new metric after this, you are going to have track every quarter, just simply this is too much to track for investors. But in Germany, there were five I think less business days this quarter because of the way the holidays fell. And there is a challenge in the consumable market in Italy. We don't think it's going to be the challenge for that long. And there were some weakness in France on consumables but we don't see any of these things as long term trend.
Jon Block: Okay, great, thank you. And quick follow-up. Steven, you called it a potential I believe restructuring that you alluded to later in 2018. And frequent restructuring certainly are not common for Henry Schein. I think you last took one in 2016. So at a high level any details you can provide, what division would this be specific to? What do you guys tweaking? Because again I think restructurings prior work maybe every four or five years and now you can called out one possibly in 2018 after one in 2016. Thanks for your time guys.
Steven Paladino: Sure, Jon. It's hard -- we are just looking at what the opportunities are. And the reason why I mentioned it is because we do think there are further opportunities to improve profitability, to take some cost out of the system. But at this point, it's really part of the analysis. We haven't completed the analysis. So I don't have specifics. I can't tell you exactly where it might be or what the potential benefit would be. But I do raise it because I think that there is a reasonably good likelihood that when we finish the analysis; we'll have opportunities to improve profitability through restructuring activities. You are right it's not something that we do all time. But we think there is opportunity here and why not take advantage of it at this time.
Stanley Bergman : And also just more color we don't expect this to have any material impact -- certainly no material impact on the front end of the house in terms of sales force reductions or anything like that. But we've been investing in software and systems and we think we can increase our efficiency on those areas and also integrate some of our acquisitions that we made in the past into our core system. So it's that kind of work and we are -- we've been working on this for a while for past six months. And now we finally concluded working towards concluding what specific plans to implement.
Steven Paladino: So I guess also the short follow up is we'll give a further update next quarter as we have those plans more fully developed.
Operator: Your final question comes from Brandon Couillard of Jefferies.
Brandon Couillard: Thanks for squeezing me in. Good morning. Couple of housekeeping. Steven, was there any outsized flu impact to the medical revs in the fourth quarter? And then could you just confirm in terms of the 2018 guidance what it embeds for currency tailwind on EPS as well as your margin expansion expectations for the year? Thanks.
Steven Paladino : Sure. Flu vaccine sales were little bit stronger in Q4 versus Q3 but it wasn't a material impact on our overall sales growth. We do expect to sell a similar number of doses somewhere in the 6 million -7 million dose range in 2018 that's embedded in our guidance. And foreign exchange, we are really not expecting any major movement in foreign exchange from current levels. Obviously, our guidance can absorb it on the downside or have upside, small movement because the range is wide enough to absorb that. But a bit of material change in foreign exchange rate we would call it out in 2018 should have happened.
Carolynne Borders: Thank you. Now Stan will conclude with his remarks.
Stanley Bergman : Thank you, everyone for calling in. Thank you for the questions as I think you can tell from Steven and my tone, we remain most optimistic about the company. And we are very excited as we unfold our 2018, 2020 strategic plan. We feel very good with our high-touch value added proposition of serving customers with wide array of value-added services and delivered through our field consultants and supported by telesales and what we believe to be world class electronic ordering and other ways of doing business with Henry Schein. And are very, very enthusiastic about the future. So thanks for your interest. Again, if you have questions you can call Steve at 5915; it is the last four digits for Henry Schein number and Carolynne --
Carolynne Borders: 631-3908-105
Stanley Bergman : So thank you very much and we will be back in I believe 60 days right or 90 days. Just under 90 days. Thank you.
Operator: This concludes today's conference call. You may now disconnect.